Sachiko Nakane: Thank you for joining ORIX Corporation for Annual Results for the course of the fiscal year ended March 31, 2025, despite your very busy schedule. I'll be the master of ceremony. My name Nakane from IR and Sustainability Department. Thank you for this opportunity. The attendee at today's conference is Member of the Board, Represent Executive Officer, President and CEO, Hidetake Takahashi and also Kazuki Yamamoto, operator and responsible for Investor Relations. Inoue, Takahashi and Yamamoto will present followed by Q&A session. The briefing session is scheduled to last approximately 1-hour. I would like to hand over to Mr. Yamamoto.
Kazuki Yamamoto: I am Yamamoto from ORIX. So I would like to now report on the consolidated net income for ORIX for '25 March end. So please refer to Page 3 to begin with. So consolidated net income for the fiscal year ending March 2025 was JPY 351.6 billion, which was announced at 3:30. Although it was -- it fell short by 9.8% compared to the forecast of JPY 390 billion, but the net income was up 2% from the previous year's result of JPY 346.1 billion. ORIX once again achieved record high profit. The full year ROE was 8.8%. At the end of FY '25 March end, the market had changed significantly with increased uncertainty due to the disruptions in the global supply chain and fluctuations in resource prices. As a result, we reviewed future prospects for our businesses. And after considering these uncertainties, we recorded total impairments of JPY 53.1 billion on a pretax basis for some assets and investments. On the other hand, many segments, including PE and Concession, Aircraft and Ships and Corporate Financial Services improved their performance, leading to another record high profit for the full year. On the next page, we will explain pretax profit and segment profit based on the 3 categories. Now Slide 4. If you could refer to the bottom row of the table below compared to the net income of JPY 351.6 billion mentioned earlier, pretax profit was JPY 480.5 billion, which is JPY 10.5 billion more than the same period last year. The profit from the 10 segments, excluding headquarters costs, came at JPY 544.7 billion. Now I will explain the breakdown using the 3 categories. First, profit from the finance category was JPY 176.3 billion. Last year, we booked a gain from the sales of ORIX Credit. So excluding that impact, profits were higher. The main factors behind the profit increase was strong investment income from ORIX Life Insurance and the U.S. private credit businesses. The profit from the operation category was JPY 200.2 billion. Profit declined year-over-year, mainly due to our conservative revision of plans more than the conservative plan of FY '22 March end for the coal and biomass coal-fired power plants that resulted in an impairment of approximately JPY 20 billion. On the other hand, contributions from Kansai Airports, ROBECO and Santoku shipping resulted in higher profits, excluding impairments. Regarding the investment category, segment profits were JPY 168.2 billion, a significant increase of JPY 56.2 billion compared to the same period last year. 2 exits were realized in the domestic PE business, thanks to contributions from significant improvements in profits at investees and investment gains in the U.S. and Real Estate segment and increased profits from equity method investees like Avolon. Next, we will explain segment profit in terms of base profit and investment gains. So please proceed to the next page. Out of total segment profits of JPY 544.7 billion, the so-called base profit was JPY 457.1 billion, a 5% increase from the previous year. Investment gains net of impairments were JPY 87.6 billion -- JPY 87.6 billion. Base profits exceeded JPY 100 billion in all 4 quarters for the first time in FY '25 March end. The overall operations and investment portfolio contributed solidly to profits, supported by the recovery from the pandemic, inbound demand and the steady recovery of domestic economic activities. Through value creation in our strong domestic PE investment ships, aircraft leasing and European asset management businesses and in businesses expected to grow further, we will continue to drive sustainable base profit growth for the ORIX Group. Additionally, investment gains through capital recycling are one of the pillars for realizing profits in a diversified operating and investment portfolio. In the fourth quarter, investment gains were a net loss of about JPY 2 billion due to impairments exceeding JPY 50 billion. However, we were able to record gross investment gains exceeding JPY 50 billion through PE investment exits in Japan and the U.S., making full year gross investment gains larger than the same period last year, and second only to the first -- fiscal year FY '22 March end when we booked the investment gains on the Yayoi sales. Finally, we will discuss the progress of capital recycling. Please refer to Slide 6. In the fiscal year ending March 2025, we recorded capital gains of JPY 140.7 billion for the full year. The cash inflow from the sales for the full year was about JPY 645 billion, while new executions amounted to about JPY 600 billion in total. So therefore, there was a difference has been indicated. The assets sold were primarily those with strong performance, such as the 2 domestic PE investees listed here, where optimal buyers were selected for the firms from both domestic and international bidders. In Corporate Financial Services, the selection of business succession targets progressed in the micro business succession M&A project faster than the past several years, resulting in 3 exits. Additionally, there was a significant cash inflow from the sales of a large multipurpose facility in Tokyo, which had been a long-term holding, while its value was being enhanced. These cash inflows were used for new investments focused on the domestic real estate, domestic PE and aircraft following the [indiscernible] IRR focused selection process. Now among these, we proactively invested in aircraft based on the assumption that the supply and demand for aircraft will remain tight in the future. For the fiscal year -- for this fiscal year, we will continue to execute new investment, while striking the right balance between recouping investment through capital recycling. We will remain flexible in making a decision if we think the deal will contribute to ORIX's future growth. So you can see the pipeline on the following page. Now the vertical axis representing investment amount and the horizontal axis representing the time required from investment execution to earnings contribution. So at ORIX, from the time of investment, we would try to -- swiftly try to generate the profit from like ships and aircraft. And also in addition to private equity investment on a long-term perspective, we would try to make an investment that would allow us to enjoy a capital gain for many years to come. So we would try to identify investment that benefits from inflationary environment and also proceed with execution if we can enjoy better terms and conditions for the deal. Now -- so we would -- we had roughly about, as you can see, more than JPY 2 trillion of investment, and that will remain to be unchanged. And this concludes my presentation. And I would like to hand over to President, Takahashi, who will present on our forecast for the new year.
Hidetake Takahashi: So good afternoon. So I have been appointed to be the President and CEO from January of this year. My name is Takahashi, and allow me to present from -- starting from Slide #8. So we regret that we were unable to achieve the sales of Greenko announced in January. And thus, we were not -- we were unable to meet the full year forecast net income of JPY 390 billion for the fiscal year ending March 2025. However, we achieved a record net income of JPY 351.6 billion and steady increased base profit, despite recording significant impairment due to our conservative forecast. So we would like to continue to grow the base profit in a steady manner going forward. And I think we do perceive this to be a great achievement this year -- the last year. ORIX's full year dividend will be JPY 120.01 per share, following our dividend policy of a payout ratio of 39% of the previous year's dividend, whichever is higher. Next, for FY '26 March end, we forecast a third consecutive year of record net income of JPY 380 billion. So we will maintain our current dividend policy and assuming net income JPY 380 billion, FY '26 March and DPS will be JPY 132. We will also increase the scale of share buybacks to JPY 100 billion, double the usual amount of JPY 50 billion. This is aimed at helping to steadily improve ROE, our most important management indicator, and this has been resolved at the time of BOD today. So as a result, total shareholder return ratio, including dividend and share buyback will be 65%. Please see the next page. Next, I will discuss our view of the impact of recent macroeconomic developments on our businesses. We believe the direct impact of so-called tariff is limited, but we need to keep in mind the indirect net effects such as possible recession and exchange rate fluctuations. Regarding the possibility of a recession, for example, some existing investments and loan targets in the U.S. and Japan are expected to face rising procurement costs posting -- posing a risk of deteriorating performance. However, such clients account for a limited -- accounts for a limited portion of our portfolio. Additionally, due to deterioration in the investment climate, there is a risk that new investments and exits may be delayed as compared to our plans, and the realization of investment gains overseas may be postponed to the next fiscal year or later. But on the other hand, domestic real estate and PE are maintaining solid momentum at the present, and we expect to achieve a good amount of investment gains from these areas in the fiscal year ending March 2026. Given the mainly uncertainties, including geopolitical risks, we believe a cautious approach is necessary for the time being. Meanwhile, during these uncertain times, it is important to conduct the business activities with a focus on enhancing mid- to long-term corporate value and to have disciplined portfolio management. Now this means replacing assets with low capital efficiency to improve ROE. At any rate, ROE would have to be improved, and we would exert much of the effort in that regard. Now despite this business climate, which remains to be uncertain, we believe our FY '26 March end net income target, which represents a new record high is still achievable. Now please move on to the next slide. Regarding this fiscal year's forecast, we will briefly explain it by breaking it down into 3 categories. We expect double-digit growth in profits in the operation and investment category and continued stable growth in finance as well. As to the finance, we are focusing on high premium first sector products, targeting corporations and affluent individuals for the insurance businesses. This should allow us to grow premium income at a pace significantly exceeding that of Japanese competition. This customer segment is an area where synergies with the corporate financial services can be expected, and we anticipate profit growth through expanded premium income from FY '26 March. And also, we should benefit from a diversification of our investment management as well. In operations, tourism-related areas such as airport concessions and aircraft leasing are likely to be the drivers of profit growth. The airport concessions business has completed a major renovation of Terminal 1 at Kansai International Airport in March, expanding international passenger intake capacity by 1.7x. So and preparing for increased passenger traffic due to the Osaka Expo. In investments, we anticipate profit growth through continuous capital recycling in real estate and PE segments by leveraging our extensive network and being capable of real estate development from sourcing properties and projects to exits. Please turn to the next page. Finally, with regards to shareholder returns, previous full year dividend of JPY 120.1 per share was a record high and a CAGR of 21% in dividends per share since the fiscal year ending March 2011. And we will continue the dividend policy of having a payout ratio of 39% or the previous year's dividend, which is higher. And based on the forecast net income of JPY 380 billion, the dividend forecast for this fiscal year will be JPY 132 per share. We intend to continue implementing share buybacks. I already mentioned JPY 100 billion, but we will do this flexibly to achieve sustainable EPS growth and optimize capital at the same time. Moving on to long-term vision and the 3-year plan. Please skip to Page 13. In formulating the new 3-year plan, we started with the premise of the ORIX Group's purpose, which was established last year. And based on this, we drew up our goal and targets. And 10 years from now, ORIX vision for 2035 is to make impact through alternative investments, operations and business solutions. We will work to achieve an ROE of 15% and a net profit of JPY 1 trillion in the fiscal year ending March 2035, 10 years from now. And we also recognize that ROE improvement is ORIX top's management priority for our new 3-year plan, which starts this fiscal year. We aim to achieve an ROE of 11% in fiscal year ending March 2028, final year of a 3-year plan. Please turn to the next page. To realize this long-term vision, we have 3 focus areas. I would like to explain about the growth strategy. So we have pathways, growth and impact. These are the 3 focus investment areas. And we want to evolve our strength in our 2 business models, alternative investments and operations and business solutions to achieve a sustainable growth cycle. Business solutions are there in order to solve or address our customers' problems. With regard to pathways, the focus is on technological evolution, aiming to achieve new areas of impact in the future economy. Growth focuses on global population growth and demographic changes, supporting sustainable growth in a changing world. Impact addresses global warming and limited resources. We are aiming to make a positive impact on these issues. While we already have businesses in these key areas, we intend to further strengthen cross-segment collaboration, combining the strength of each segment expanded over the past decades to develop business at scale in each area. While these 2 business models are the ones that we have traditionally possessed. The asset value creation model will evolve into an asset management business, incorporating third-party capital in each business, transforming into an asset-light business structure. This is our plan. In a model for solving clients' issues, we provide solutions to global clients' challenges, such as M&A brokerage, focused on business succession opportunities within the Japanese market, which has actually grown to a considerable scale. We aim to strengthen our revenue base with asset-light fee-based models. Please turn to the next page. Now I would like to explain about specific measures to achieve our long-term vision. We will implement 3 key measures. The first is disciplined portfolio management. Second, sophisticated risk management; and third, new business creation. These are the essence of management for ORIX Group in my own opinion as well. So we want to execute all 3 without fail, and the details can be found on the bottom of the slide. We also believe that disciplined portfolio management is particularly important for improving ROE. As before, we will realize business value through capital recycling moving forward, but we will also visualize the growth potential, capital efficiency, impact on credit ratings of each business and asset at a much finer granularity. This will enable us to optimize and reconfigure the portfolio and improve ROE, which is the most important theme for the management of the group. In relation to enhancing our existing businesses, as you saw in the previous page. We aim for sustainable growth of the bottom line through new businesses centered on the strategic focus areas, which was outlined in the previous page. We will invest management resources to maximize growth in the numerator part of the ROE formula. Please on to the next page. I would like to explain the ROE targets and initiatives for ROE improvement in our new 3-year plan in the 3 categories of finance operations and investments. In Finance, we aim for a double-digit ROE growth through accumulation of alternative investments and syndication, including addition of third-party funds, selection and concentration within Asia and the expansion of nonfinancial revenue through the model of solving clients' issues. In operations, we aim to improve ROE through horizontal rollout of asset management business in real estate, renewable energy, aircraft and ships and enhancing services and inbound businesses. We want to improve it to 15%. The -- in the investment category ROE may fluctuate depending on exits, but we aim to improve ROE to 11% on a multiyear average basis by accelerating capital recycling and forming PE funds. Recently, we announced the sale of ORIX Asset Management and Loan Services Corporation. And we intend to continue optimizing the business portfolio across the 3 categories without setting aside any area as a sacred cow. Our strength has been able to approach sectors and regions from 3 different angles: finance operations and investments and our ability to undertake hands-on investment and operations utilizing expertise in finance, which is a founding business. Over the mid- to long term, our portfolio will shift more towards operation and investments. But it is important to maintain abilities in all 3, not just categories but methodologies. Please turn to the next page. Finally, I'd like to explain the policy regarding capital allocation and shareholder returns in our new 3-year plan. While continuing to maintain an A credit rating, we will persist with the policy of distributing 39% of net profit as dividends. And for March '26 fiscal year, we have JPY 100 billion share buyback. Looking at the capital recycling, we will be flexibly conducting share buyback to optimize capital and also, at the same time, grow EPS sustainably. We believe that credit mission for me is to enhance long-term enterprise value and the stock value. Since EPS growth and improvement ROE have a correlation with rising stock prices, I want to reiterate that we will thoroughly focus on capital allocation and portfolio management that emphasizes the growth potential and capital efficiency. And the impact on credit ratings of each business, while optimizing capital to achieve sustainable EPS growth and ROE improvement. This concludes the brief overview of our long-term vision and a new 3-year plan. Please turn to Page 18. And I would like to recap the key objectives once again. We aim for an ROE of 15% and net profit of JPY 1 trillion for the fiscal year ending March 2035 as a management KPI. And there's an interim milestone of ROE 11% for the fiscal year ending March 2028. This is the most important goal for that new 3-year plan. And regarding the JPY 100 trillion AUM target in asset management, we aim to achieve this within these 3 years, and we plan to further expand AUM. That was a quick view on our long-term vision and our new 3-year plan. Thank you very much for your kind attention.
Operator: [Operator Instructions] But please do understand that we would prioritize those people who are attending the meeting in-person. [Operator Instructions] So to the person at the farthest right on the first row in the venue.
Kazuki Watanabe: I am Watanabe from Daiwa Securities. I'd like to ask a question with regard to capital policy. So the buyback is now being doubled to JPY 100 billion. And on Page 17 in the orange box. So maybe JPY 150 billion or more is expected to be repurchased. So if you could be so kind to share the idea to the shareholders' return as well as the shares repurchased program.
Unidentified Company Representative: So we have been targeting at achieving double-digit ROE and -- but now we have positioned ROE to be the first and foremost important management target, which means that we need to address both the denominator as well as the numerator in order to improve our ROE. And as for the denominator, we would have to continue to carry out the shares repurchase program in order to achieve capital efficiency. So -- and also capital recycling, the timing of the investment. We have to strike the right balance in addressing the numerator. So therefore, we would have to carry that out in a very flexible manner. In a short time period, if there was to be, of course, a better opportunity, attractive opportunity for us to gain on the investment that has to be made, but the investment and divestment, there could be some discrepancies. We will not be able to perhaps achieve a good enough balance. So divestment amount may perhaps be in excess of the possible investment, then we will be able to allocate such amount to shares repurchased. So in any case, we would like to continue to focus on ROE, so far as the management indicator is concerned.
Kazuki Watanabe: And also, you have mentioned about focusing on EPS, and which means that you are incorporating the double-digit growth. Is there any kind of changes in the idea behind that?
Unidentified Analyst: No, no changes. But basically, I said that we would turn more proactive in terms of shares repurchase program because 70% of the profit is base profit, and the others are consisted of capital gain basically that is. But the capital gain in a linear manner to grow this -- in a linear manner, I think will be difficult. So this is why from the perspective of cash in and cash out, as we have said. So there could be a possibility of more cash in than the cash out, then in such a circumstance by carrying out the shares repurchase program, we'll be able to enhance EPS -- I'm sorry, my voices are becoming a little croky. And -- but at any rate, at EPS, we would like to continue to grow EPS steadily in a linear manner, and then that is our idea.
Operator: Second row in the front.
Masao Muraki: SMBC, Nikko Securities. My name is Muraki. I have a question about your capital allocation. Page 48 on the right-hand side, I can see a diagram. And ROE improvement, in order to improve ROE, investments must be shifted from light red to the darker red in the center and potentially push to the upper side of this slide. I think that's what you're trying to do. Now with regard to investments, Capital allocation, which part do you intend to shrink? That's my question. And also, in terms of the share buyback for this fiscal year and the next fiscal year, page 17 shows about JPY 300 billion -- I think, more than JPY 300 billion. Is this the number for the upside -- at the time of upside? Or is this based on the standard scenario in terms of investment? What is the scenario for the share buyback on Page 17.
Unidentified Company Representative: In order to improve ROE, there are several things that can be done. One is revisiting capital allocation and low capital efficiency will be released. That's one thing. And another thing is we want to maintain A rating and also conduct share buyback in a flexible manner. As I said before, and we need to set aside some amount. Well, 2 days ago, there was an article about me in the newspaper, JPY 4.1 trillion equity, and out of that ratio between the goodwill and intangibles. This is about just over JPY 1 trillion. And in terms of rating, excluding -- this will have to be excluded for the purpose of rating. So in terms of asset or capital, goodwill and intangibles. The ratio of these 2 pieces. If the ratio is higher, then we will be less likely to be able to do a share buyback. So my point is there are multiple factors involved and there are pros and cons. And we want to look at them at a high level of granularity so asset investment or divestment. What is the impact on our financial statement? We want to look at this, monitor this at a higher level of granularity. And we want to visualize it high level of granularity. And based on quantitative data, we want to execute capital recycling. So this is what I meant by ROE improvement. The most important management measure is rigorous portfolio management. This is why I said that earlier. And with regard to the numbers, I would like to refer this to Yamamoto-san.
Kazuki Yamamoto: Yes. You have a question about Page 48. I would like to explain about the numbers, 11% 3 years. Upside for the investment category, this is not really reflected directly. But based on the current portfolio, the horizontal axis, in fact is a percentage of capital allocated. And this is out of the consolidated capital. How much each category receives in terms of percentage breakdown. So investment will be repeated and accumulated. So divestiture and the investment will be repeated over and over. And this is how we enable this. So ROE will be pushed up through this process. And this is already taken into account, and we want to achieve 11%. For the first year of this plan, share buyback will be now changed from JPY 50 billion to JPY 100 billion because of this background. And as we move forward with future capital recycling, as I said -- as we said, there is no sacred cow, no stone will be left unturned. So we will continue to make these efforts in order to achieve 11%. This is what we are trying to show with the bubble chart on the right-hand side of Page 48.
Masao Muraki: So withdraw from low profitability business and also share buyback. How do you incentivize these measures? Because the remuneration for the directors traditionally, sees net income as a key KPI, and ROE was not really taken into account.
Unidentified Company Representative: There are 2 things. I assume this position of the presidency in January and the Head of Segment and Head of Administrative Department, all of them, I have repeatedly delivered the message that we have to be focused on ROE. So I’m trying to change people’s mindset. And secondly, having said all that, reflecting this into the executive remuneration, of course, is important. Well, we didn’t have enough time this time around. Starting from January with the AGM, we could have introduced a new remuneration system, but there are different potential designs, so we would like to spend some more time discussing different possibilities. And by next year, ROE linked incentive structure, hopefully will be introduced. So 11% as much achievement in 2028 and going down to 10% or single digit in the following year, that is not really what we want. We want to see rolling recurring mid- to long-term ROE improvement. And therefore, incentive system has to be in line with that idea. So we’ll be carefully designing the system. So starting from next year, hopefully, we can introduce the new incentive system.
Operator: So the second person on the second row.
Koki Sato: Sato from JPMorgan. So for this year, the profit plan. So in what way will you -- did you apply your conservative estimate. So for the year that had ended, the gross capital gain and net capital gain, if we were to refer to those numbers. So impairment of JPY 50-plus billion also can be observed. But this time, the segment profit, the increase is roughly about JPY 55 billion. So if impairment is going to go away or you are just expecting the increase in profit by the same magnitude of the possible impairment. So what is your expectations and especially for the like base profit? And also, is there any kind of conservatism that is reflected, if you could be so kind enough to respond.
Unidentified Company Representative: There are some conservatism. But also, we are, on the other hand, aggressive or proactive. And at the end of the day, we think that this profit is achievable, and this is why we made the announcement. But for example, unfortunately, the Greenko sales was not executed in the last year. So according to the SPA, it was a long stop date. But after April 2, we had -- unfortunately, we were not able to reach to the full amount as a result of the procurement of the fund. So the market has been quite volatile every single day. So this is why, but our intent remains to be unchanged. Once the market kind of quietens down and if the fund is available, then we should be able to start this program. And -- so from that perspective, it is true that we have not incorporated such an amount into the plan. And as to the ForEx JPY 100 -- or mid JPY 140 was expected. But according to the forward, it is about JPY 144. So the forward, if that becomes the spot rate, then there could be a possible downside slightly, that is. So be it upside, downside, putting that all together, JPY 380 billion of net income. Whether this is enough or not, I'm sure you may have different opinions about this. But we think that this is achievable, and this is why we have made such announcement today.
Koki Sato: Well, if possible, for this fiscal period, the base profit starting from last year. So I know if you could be so kind enough to explain whether you are expecting growth.
Unidentified Company Representative: Well, not growth by 10% to 20%. You mean by pretax profit? Yes, we are expecting the growth to be enjoyed. So if I may give the breakdown. So in coming up with this plan, and we have taken into account all that needs to and real estate related because of inflation. And for other reasons, the uncertainty is rising, we think, because last year’s result was had being pretty smooth. And from that aspect, you may perhaps like to regard this to be conservative. But the condominium sales and also hotels and inns in the inbound tourism related, we had made the fine-tuning, taking into account this robustness of the market. But other investment, for example, we may have turned a little invest – kind of conservative and also ships. There may be an impact from Trump tariff, but the ownership of the ships. In fact, the long – the distance of sail, in fact – the cruise, in fact, has been extending. So therefore, that remained to be pretty strong in the last year. So there will be no negative this year. And then like a concession, for example, airport. And as for momentum, there seems to be a recovery being experienced. And so therefore, on a year-over-year basis, we have come up with such a plan that you see. Thank you.
Operator: Thank you very much for waiting. Moving on to the next person.
Naruhiko Sakamaki: This is Sakamaki, Mizuho Securities. Profit for the last year of midterm plan. I don't think you have disclosed that. I know that the ratings can be restriction. And share buyback is not unlimited, and you have to consider ROE. So in terms of Plan A, what would be the profit level. I know for this fiscal year, there's uncertainty but 2, 3 years down the line, the situation will be different. So what level of profit do you think would be achievable or acceptable?
Unidentified Company Representative: We have not announced any numbers today. So I would refrain from talking about any specific numbers, but you can maybe back calculate, reverse engineer the number. ROE is important for us, as I said before. Gross profit contribution may be there, but if the capital efficiency is low, ROE can be low or weak. And turnaround or sustainable growth cannot be expected if there is such an asset, then even if we end up losing the bottom profit or short term, we may want to prioritize ROE improvement. That is our intention. And in 2035, JPY 1 trillion of net profit is now being targeted for. This is very challenging. This is not an objective that is easy to achieve. And it goes without saying, in order to improve ROE, we need to shrink the denominator, but also grow the numerator at the same time. We want to be rigorous with our portfolio management and also create new businesses. And we want to allocate maximum management resources for these areas. This is the intention behind that. So rather than being fixated on a single year bottom line, we want to improve the profitability of the midterm, long-term in a sustainable manner, so that we can flexibly do the share buyback and achieve a linear growth in EPS. So bottom gross profit level is not something that we would like to share with you today. I hope you understand.
Operator: Any other questions from the floor? We would like to move on to entertaining questions online from SBI Securities, Otsuka-san, would you mind unmuting and start asking questions.
Wataru Otsuka: This is Otsuka from SBI Securities. I hope you can hear my voice okay.
Unidentified Company Representative: Yes, we can.
Wataru Otsuka: So Page 16, referring to the slide so for the new year, the ROE plan. So in these businesses, you have ROE plan that has been shown but for the first time, you have taken such an approach, right? So with regard to the achievement of ROE for each of these categories, the responsibility or commitment? How -- who is going to be to hold accountable for this or responsible for this? So like the person, the Group Officer, I don't think there's anyone who is in charge of Group Officer for finance, for example. Or you mean the segment like head of the segment may be finally responsible? Or if that is going to be the case, then the capital would have to be allocated to each of these categories or -- how does it work?
Hidetake Takahashi: Well, if I may respond to your question. As of now, these 3 categories, the commitment to these numbers, the management who would account the responsible is Inoue, CEO and myself COO, Takahashi, two of us. But on the other hand, on other pages. As we had disclosed, the finance business, the investment and the operation, dependent on the segment. The businesses could be categorized differently. So I'm sorry to perhaps go away from your question. But in particular sector or any market, the 2, 3 approaches of finance, operation and investment, so I think this is the strength of ORIX that we can approach from these 3 different perspectives or 3 aspects of the businesses. So rather than appointing the head of each of these categories, under each of the head of segments, we think that the best thing that could happen is to carry out these category activities. So -- but we should not make it kind of ambiguous. So as we have said at the time of the portfolio management presentation. As of now, this finance business, so in the 3 categories, there is a capital allocation. And also in 10 segments, the capital allocation, we do have managerial accounting perspective. So in other words, the distribution is made. But in a more granular manner, we would like to kind of approach is in particular segment. So we may have 3 different categories. We may have different businesses or different risk return profile. So therefore, finer granularity. With finer granularity, asset and operations are separated so that the capital allocations are made accordingly. And so that we'll be setting the ROE target for each of those businesses. So -- and in -- we kind of balancing the portfolio. But we are still in the middle of the way, but we do not intend to take much time in completing this task of ours in the next 2 years. In the 3 years midterm plan, we would like to, of course, enhance the sophistication of the portfolio discipline, the management, but how far are we going to kind of disclose to you, the numbers is yet to be decided though. So I hope this answers to your question.
Wataru Otsuka: Well, if I may just confirm then, in that case, operation-wise, to the head of segments, so there will be -- there is a quasi-kind of capital that has been allocated to them, and that is already up and running. But incentivized, you are going to be designing this incentive program?
Unidentified Company Representative: Yes, exactly. So by segment, although it is up and running already, but that is on a segment-by-segment basis. So there will be different asset classes in each of the segments. So we may have to break it down with much more finer kind of granularity so that we’ll be able to manage our portfolio in a much better way. So that will be our approach.
Operator: BOA, Tsujino-san.
Natsumu Tsujino: Yes, this is Tsujino-san, BOA. Can you hear me.
Unidentified Company Representative: Yes. We can hear you.
Natsumu Tsujino: In fourth quarter, equity-based investment of about JPY 10 billion in Asia and also in Europe, some amount. And I'm just imagining that Greenko sales may have been possible until the last minute, and you wanted to revisit this, and you were considering impairment. That is my read on the situation. Greenko didn't work out, but still, you did an impairment process. But the size of the impairment is quite large. Why were you able to do this at this time? And why did you want to do this at this time around and not before? That's my first question. And actually, the mixed firing impairment -- the environment business impairment is also related to this. Considering the current environment, I think [Hibikinada] in Japan. Well, this timing, I just want to know where the timing of this can be justified. That's my first question. And considering the size of the impairment, if we can exclude the impact of impairment. You could have done JPY 380 billion and you gained from exit to a great extent last year. I understand that. And this may not be present in the coming fiscal year. I understand that as well. But also at the same time, this JPY 380 billion reflects various types of risks. Now in what kind of situation, would you not be able to achieve JPY 380 billion, what would be the conditions or parameters that will realize that kind of scenario?
Unidentified Company Representative : Thank you for your question. Impairment, because without saying, has to be implemented according to accounting rules. It's not something that we can control the timing of. So please understand that point to start with. I'm sure that you can imagine various scenarios, but there are specific reasons. And of course, no impairment is the best possible scenario. But in the prior fiscal year, we had to process necessary impairment. As we posted impairment, we had to relook at the assumptions that become more conservative. And if you believe that the assumptions are too conservative, maybe the impairment was too big from your perspective? Or if it's the other way around, maybe it's the other way around. But impairment and gain on sales matching both of them in order to control the profit? Well, I wouldn't say that we never do it, but in terms of divestiture, of course, CEO, Inoue, says that we have to buy low and sell high. And of course, we should sell high at the maximum profit level, if possible. So we do not arbitrarily control the timing of divestiture. And if the outlook for the business is poor and we have to post impairment, that will affect our capital as well, and that will improve ROA as well. So rather than doing buyback, flowing the money out of the organization, if we do that instead and post impairment, we can optimize. The capital, which will improve the ROA in the future and improve the quality of capital and quality of asset. So that's another management approach. So as necessary, at the right time according to the accounting rules, we will be posting impairment, and we want to be flexible with the share buyback. So this is a policy that's been long-standing. It has not changed. Now with regard to JPY 380 billion, I believe you're talking about the forecast for this fiscal year. Under which scenario we will not be able to achieve this. Well, every morning, we wake up to a new set of news. For example, Trump tariff are causing recession in the United States and that may cause global economic downturn, if that becomes a reality, of course, our base profit will be affected by that. And as I said before, if the sales or the divestiture is faced or if the investment that is planned cannot be executed at that time, things will shift or change. So those are the big factors that I can think of. Inoue-san, do you have anything to add?
Makoto Inoue: With regard to how we formulate the plan, I would like to respond to your question, Tsujino-san JPY 380 billion forecast. In the prior fiscal year, we applied some conservative measures. So I think the plan is more credible this time around. And in the fiscal year, JPY 140 billion or more gain on sales was achieved. Well, that was a plan and we could achieve that based on various assets. But of course, when it comes to sales divestiture, we have to think about the buyer situation. We try to distribute that over the 4 quarters, and some of them are already underway. And in the end, we want to realize all of these in a satisfactory manner. But maybe INR 10 billion or so fluctuation may occur because we don’t necessarily want to push the sales. Now JPY 380 billion, Greenko does not include – does not – is not included in this number. In other words, this base number is quite conservative, but still 0% increase on net profit for this fiscal year. So overall, the plan itself is a little bit more aggressive rather than just conservative. And hopefully, we can give you more information going forward.
Operator: So this is going to be the last question. So from online Sasaki-san from Nomura Securities.
Futoshi Sasaki: I am Sasaki from Nomura Securities. I hope you can hear my voice, okay. Would you mind speaking up a little more? I am Sasaki from Nomura Securities. I hope you can hear my voice okay. So I would like to ask a question about the Slide #6. So this time, so non-efficient businesses may be divested in a much more kind of proactive manner than before. But in the new investment, JPY 500 billion to JPY 700 billion is the idea that you may have. And if you're going to be asset portfolio and the size of the sales of assets, would that match against this JPY 500 billion to JPY 700 billion? Or do you have any other size in mind? And also time line-wise, whether it would happen in the first half of this year or the second half? Do you have any idea as to the timing as well? And if at all possible, the risk is heightening in different parts of the world, you had explained. But on the other hand, as to your businesses, as we enter into recession, you do have the strength of being able to enjoy such situation. So in this time of uncertainty, is there any kind of new business opportunities that you foresee?
Hidetake Takahashi : Well, as the first part of the question, Yamamoto is going to respond later. So let me respond to the second part of your question. To begin with, as you had rightly pointed out, you see we have diversified a really diverse area of businesses and countercyclical in the past as well, such as the timing of global financial crisis, IT bubble burst and so on and so forth. So we did manage to post a positive result on our P&L. So -- and I think that is the reason why you had asked the question. As for the future, it just happens today in the morning, we have made a press release. So Hilco Global, Hilco Trading, the acquisition, nonbinding MOU has been exchanged and concluded. So what they do is they would carry out the appraisal of real estate asset and also the carry through what is recognized to be liquidation process in United States such as the inventory, for example, they'll be purchasing the remaining inventory and also to liquidate them as well. So therefore, they are truly countercyclical businesses that we are now just about to acquire. So from an organic perspective, at the time when the cycle -- the economic cycle is on the downturn, we would be able to make profit, although it's -- it sounds a little kind of weird, but still, we would very much like to make the most out of our strength. So if we can move on to the first part of the question?
Kazuki Yamamoto: So this is going to be Yamamoto. And allow me to add to what has been said by Takahashi so far. So JPY 500 billion to JPY 700 billion, so recouping of the investment. So we have not taken into account that part. So in terms of the cash in, that would work out to be an upside. And in other words, from a P&L perspective, even if it was to be flat, this capital release will be proceeded. So therefore, as ROE management, I think we would have more options. And I hope this answers to your question.
Futoshi Sasaki: If at all possible, do you have any size in mind as well as the timing or how kind of firm the plan is?
Kazuki Yamamoto: Well, in the 3 years, the execution is to be done during the 3 years period. So it is very different from the usual PE investment, like – execution, exit in the first half and then exit in the second half. This is not going to be such a case. So we should not refer to it in a snapshot manner. But just I had explained whether there is any room for improvement of the businesses or improvement in the financials. So in the – during the 3 years, we will be scrutinizing all the businesses in the pipeline. And so that hopefully, there will be no much of a decline from the current level. But of course, there will be some little fluctuations for the up or down, but even if we have JPY 20 billion of a deal, we would not be able to reach to that extent. So please do understand that there will be a kind of an imaginable kind of size. So I think it will be in the range of JPY 500 billion, JPY 700 billion just as you have asked the question for. Thank you very much.
Operator: So we have just gone over the time that was scheduled to conclude this session. I'd like to hand over to Takahashi to give us the closing remarks.
Hidetake Takahashi: Thank you very much for joining us today. I’m sure that there are still some questions left, but we have introduced a strategy and the measures today. And by implementing them on a quarterly basis, we would be looking forward to providing you with the progress, so that you can monitor the progress, and we appreciate your kind support – continued support. Thank you very much.
Operator: That concludes the earnings call for the fiscal year ending March 2025. Thank you very much for staying until the end of this program. Thank you, and goodbye.